Operator: Ladies and gentlemen, thank you for standing by and welcome to the Interfor Quarterly Analysts Call. At this time all participants lines are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] And I would now like to hand the conference over to your speaker today Mr. Ian Fillinger. Thank you. Please go ahead, sir.
Ian Fillinger: Thank you, Operator. I'll provide some opening comments. First off, welcome to our Q4 2020 Investor Analysts Call. Firstly, I'd like to say that I hope you and your family are safe, healthy and doing well during this pandemic. With me today you have Bart Bender, our Senior Vice President of Sales and Marketing; along with Rick Pozzebon, our Senior Vice President and Chief Financial Officer. Our agenda today, we'll start off with myself providing a recap of our strategic priorities and key themes, I'll then pass the call on to Rick who will cover off financial matters; and then Bart who will cover off the markets. So, turning to our strategic focus. We continue to focus on achieving greater returns on capital. Through our unrelenting focus on operational excellence. We continue to our CapEx improvement plans in every region. We've made considerable progress on our multi-year CapEx program since 2017 and we're really starting to hit our stride across multiple projects. We continue to work hard on our capital allocation discipline to ensure best returns for our shareholders. Our improvement efforts were again balanced across the company as we made progress in all regions. Our operating teams improve their production volumes quarter-over-quarter, as COVID and capital improvement projects were again addressed and completed. Of note, we recorded one of our highest production volume quarters Interfor's history, but we did so with two less mills in our portfolio compared to the last time that we reached these levels. Our conversion costs and overhead costs both continued to trend positively during storage during the quarter and due to our ongoing operating cost controls and increased production levels. Our capital spending program continues to advance forward as we continue to modernize all of our operations, improving not only our operating costs, but also our value extraction from our logs. Last quarter, we spent $36 billion to improve our plants across all regions, up from $23 million last quarter. Of note, we are seeing a reduction in our maintenance CapEx as we complete our modernization programs. Working capital and its impact on cash flow has continued to be a key focus for us. We implemented a new discipline approach earlier this year by better-matching market demand to both our lumber and log inventories and also our operating schedules. This ensures we don't build excess volume into the supply chain and are as lean and mean as possible. Turning to our financial results. Our Q4 adjusted EBITDA was very strong once again, coming in at $249 million. Our lumber margins were very strong, and we continue to focus on efficiency and cost across the company. Lastly, we have significant financial flexibility to consider a number of capital deployment options, which Rick will cover. That concludes my opening remarks and I'll now hand the call over to Rick.
Rick Pozzebon: Thank you, Ian, and good morning, everyone. Before getting started, I'll refer to the cautionary language regarding forward-looking information on the first page of our Q4 MD&A. As Ian mentioned, Interfor generated record-adjusted EBITDA of $249 million in Q4, representing a margin of 38% on sales of $662 million. Lumber shipment volume and lumber price were both significant factors in the quarter. We shipped 683 million board feet of lumber in Q4, up 11% over the prior quarter as we operated as essentially at capacity despite challenges presented by the COVID pandemic. We realized an average price of $842 per 1,000 board feet in Q4 which is 49% higher year-over-year and down only 8% from our all-time high achieved in the prior quarter. Q4 lumber pricing was unseasonably strong, as growing demand for new homes and favorable weather for construction was combined with relatively low lumber inventories and limited slack and production capacity across the industry. EBITDA margin for 1,000 board feet continues to benefit from our ongoing strategic capital investments, which have led to higher grade returns [ph], cost reductions and productivity improvements. When benchmarked against other publicly-traded lumber producers, our adjusted EBITDA margin per 1,000 board feet is now consistently amongst the leading group. Included in the $249 million of adjusted EBITDA is $38 million of income to reverse a portion of softwood lumber duties expense during 2017 and 2018 preliminary rates. The Department of Commerce finalized combined rates for these years at below 9% versus cash deposits made at 20%. This $38 million amount along with associated interest is recorded as a deposit on our balance sheet at year end. In terms of cash flow, we generated $205 million from operations before working capital in the fourth quarter, amounting to $3.07 per share. A reduction in working capital added another $25 million of cash flow in the quarter. In terms of CapEx, $36 million was invested in Q4 for a total of $110 million in 2020. Approximately $22 million dollars of the Q4 investment related to discretionary projects focused in the U.S. O [ph]. We also used $24 million to buy back over 1.3 million shares in the quarter at an average price of $18.40 per share. Our cash income tax obligations in 2020 were largely mitigated by the use of available tax loss carryforward. However, our outlook on cash taxes has shifted meaningfully based on the robust Q4 earnings. We are heading into 2021 without any tax loss carryforwards remaining in our U.S. operations and expect to utilize all remaining Canadian tax loss carryforwards within the first half of this year. Our cash tax obligations will continue to be partly mitigated by accelerated depreciation of ongoing capital investments. Our balance sheet strengthened further in Q4 and continues to provide significant flexibility. We ended the quarter in a net cash position of $75 million with available liquidity of $788 million. Our liquidity is comprised of $457 million of cash on hand and our undrawn revolving term line. We don't have any significant debt maturities until 2024 and our softwood lumber duties on deposit with the U.S. government totaled $134 million at quarter end, which are mostly off balance sheet. Next, I'll speak to our current thinking on capital allocation, which continues to evolve based on the ongoing deleveraging of our balance sheet. The fundamental objective in managing capital for our shareholders over the long term continues to be the generation of returns above Interfor's cost of capital, while maintaining a conservative balance sheet appropriate for the lumber industry. Our first priority in achieving this objective is to invest in and optimize the returns from our current portfolio sawmills. Our outlook for CapEx in 2021 remains consistent with prior guidance at $150 million. Our CapEx plans for 2022 are still in development, but will likely be in the range of $150 million to $180 million. Our second priority is to grow our sawmill platform through acquisitions and generate incremental value from our operational expertise, scale and portfolio diversification. We continue to believe attractive acquisition opportunities will present themselves and our intention is to be patient and disciplined in the execution of our growth strategy. To the extent, we aren't able to identify internal and external investment opportunities with appropriate returns. Our third priority is to return cash to shareholders. The preferred approach for this is share buybacks under our normal course issuer [ph] bid, we will remain active in buying back shares when certain conservative and internal parameters are met. We'll also consider other alternatives to the extent that surplus capital remains after considering the aforementioned priorities. To wrap up, our Q4 earnings and free cash flow generation are both very robust and our current balance sheet gives us the ability to continue optimizing or selling our portfolio and execute on our growth strategy for shareholders. That concludes my remarks. I'll now hand the call over to Bart.
Bart Bender: Thanks, Rick. Turning to the markets. It's hard to find a negative economic indicator these days in our business. Interest rates, subsequently affordability, home builder confidence, desire for space demographics, homes for sale all support a favorable climate for new home construction. Repairing remodels supported by an aging housing stock, great household balance sheets and newly created desire to work from home lifestyles. All-in, these are favorable for our business and to get them all at the same time is unusual. Speaking to the market, lumber demand remained very consistent through Q4. The repair and remodel and new sector showed its typical seasonal slowing, whereas the new home construction and new sector continued to demand more lumber. Interestingly, lumber prices were on the move throughout the quarter. Initially, prices were under pressure as we headed into a seasonally slower time of the year at very elevated prices. This drove many purchasers to the sidelines as they looked to balance significant supply chain risks with overall needs. The market needed to adjust the levels that could be seen as investment grade. Within market inventories at historical lows, lumber demand resisting and seasonal slowing, the ability for our customers to hold off from purchasing was short-lived. The net result was that we saw us leaving 2020 with strength. As we move into Q1 2021, it is clear that the demand for lumber remains strong. U.S. housing starts and repair and remodel forecasts are strong. In particular repair models preparing for an active spring, we expect volatility to remain high as the supply chain manages through low inventories and high pricing risk. In terms of our overseas business, our business to Japan is improving. Last year, we saw a fairly significant decline in lumber demand resulting from primarily a reduction in housing starts. Inventories have now balanced and pricing in Japan and stabilized. In the rest of Asia, our business has declined somewhat owing primarily to a disconnect in pricing relative to North America. We expect this to improve as we move further into the year. Overall, we're encouraged with how the year started and optimistic that 2021 will prove to be a solid year in the lumber business. I'll stop there. Back to you, Ian.
Ian Fillinger : Thanks, Bart, thanks, Rick. Operator, we're ready to take calls from our analyst group now.
Operator: Okay. [Operator Instructions] Your first question comes from the line of Sean Steuart with TD Securities.
Sean Steuart: Thank you. Good morning, everyone. Ian, I like to discuss the growth opportunity set a little bit more. You touched on sawmills, which is obviously your bread and butter. Is the opportunity set large enough there? And I'm wondering how you guys are thinking about potential lateral moves into engineered wood? Potentially some other vertically-integrated building product type businesses? Is that on the radar for you at all?
Ian Fillinger: Yes. I think there are two questions in there, Sean, we do think that there is opportunity that will present itself when the time is right in the lumber business in the regions that we operate. So, we're very close to that and paying attention to that. We have a pretty robust goal and growth plan that we're working to achieve and what we realized is that to achieve those goals and plans, that we may need to what we call lead with lumber as our growth platform, which means that lumber is our preferable way. But if, if that means picking up an associated business with a lumber mill, whether it's pellets, or plywood, or engineered wood products, that we shouldn't just confine ourselves to simply lumber. Our preference is that we would lead with that, but we would also look at opportunities that would be associated with acquisitions of lumber mills.
Sean Steuart: Thanks for that, Ian. The second questions for Rick. You mentioned other alternatives to return capital to shareholders if surplus capital builds in the balance sheet. Should we think of that as special dividends? Any context you can give us there?
Rick Pozzebon: Hey. Good morning, Sean. For sure, special dividends is certainly one option. We're still evaluating what that might look like in terms of surplus cash on our balance sheet and what the options are. I will say our approach will be aligned with us being a growth-oriented company in a commodity industry.
Sean Steuart: Okay, thanks very much. I'll turn it over.
Rick Pozzebon: Thanks, Sean.
Operator: Your next question comes from the line of Hamir Patel with CIBC.
Hamir Patel: Hi, good morning. Ian, could you give us an update on the Hammond Mill land sale process?
Ian Fillinger: Yes. There's interest, Hamir and it's currently for sale. It's a valuable -- we think a valuable piece of property that would skirt to Vancouver with river, and road and rail all associated with that site. So there is interest in it and we're working with our agent to advance on that. We're hoping that a deal is done in the next 12 months or so. But it's still in the process.
Hamir Patel: Okay, thanks. That's helpful. And Ian, just curious on your thoughts on how COVID might be weighing on industry production? You see any differences in the south versus the U.S. and Pacific Northwest and Canada?
Ian Fillinger: Yes. Well, internally, there is a there is a difference for sure. Our south team and our Pacific Northwest team had some additional challenges compared to our British Columbia team. But we're seeing some tapering of that, particularly in the south. But there was a quarter-over-quarter jump in disruptions when it came to positive cases or employees that needed to self-quarantine for exposure. So, having said that, we didn't miss a beat. The teams were able to operate around those and achieve their production volumes, which as I mentioned in my opening comments were a record. What we have heard, Hamir, is that and it's just more of industry talk that some operations are struggling a little bit more and examples of where a filing room would get an exposure and then all the soft, others have to go off and then you can't run your mill because you can't change your saws or maintain your saws. But nothing massive that we're picking up. Just mill here, mill there, but I guess I'll leave it at that. I don't have anything concrete for you. I can just tell you that we did see a big increase particularly in the south, quarter-over-quarter, but it appears to be leveling a little bit now.
Hamir Patel: Okay, great. That's very helpful. Thanks again, that's all I have. I'll turn it over.
Ian Fillinger: Thanks, Hamir.
Operator: Your next question comes from Paul Quinn with RBC Capital Markets.
Paul Quinn: Yes, thanks. Good morning, guys. These may be a few questions here. One of your competitors in the states Polex [ph], was trying to estimate their lumber production laws due to COVID and they and they put it around 4%. They thought that was pretty realistic for the whole industry, is that something that you've kind of experienced?
Ian Fillinger: We have not experienced that, Paul. Our guys have found creative ways, whether it's adding hours, or some extra shifting, or that type of thing to get around that. And in the south, even some of our management team in some cases have had to really lean in on this and occasionally have to run equipment as they deal with -- and they come in one day and all of a sudden 12 employees are off through exposure or something like that. So, hats off to our frontline workers, both hourly and staff, have managed out really well. So, we have not seen or experienced that same decline.
Paul Quinn: And maybe on the growth side. You guys took a look deep dive into green field, pull it away. Is that still a consideration? And if not, why isn't it a consideration here?
Ian Fillinger: Yes. Paul, the greenfield binder is on our desk, and we have an engineered layout and we know which equipment to put in. So, the design and everything is kind of shelf-ready, if you will, but the challenge that we find, or that's really sort of handicapped in greenfield for us is the whole people side of it. And sourcing, 100 to 150 frontline employees often without experience does create some concern for us around startups and the length of those to get those going. So, at this point, we're just starting to come to the last 24 months or so of our CapEx that we launched back in 2017. You'll remember when you were down in the south, we were talking about that a few years ago. And now we're turning our attention to the next round of internal and we think we got some pretty exciting projects that we can advance on and get the engineering started earlier and the equipment orders in earlier. So, we are kind of moving from that one phase that we outlined a couple years ago. We're getting to the end of that and we're a couple years now, looking at what we're doing with the rest of the mills to improve them even more. I guess that's where our focus is, but on the greenfield, if we could figure out the people side, and have some more confidence around that, I think that would be a bit of a change of mindset for us. So, we're paying attention to it. But our preference would be to grow through acquisition versus the greenfield.
Paul Quinn: Okay. And then just, Ian, you made a comment on [indiscernible] you spent, you've seen some reduced maintenance. What is your total company maintenance? And what kind of reduction is in material?
Ian Fillinger: Rick, correct me if I'm wrong [ph]. Paul, I think on the trend basis, we're getting down to around $16 million or so in our maintenance, which is on a trend basis fairly reduced, I guess from history. That's a direct correlation to the investments that we've been putting in and the mills are more modern, less fixed-up. So, we have to deal with equipment is newer. So, costs are lower. It's somewhere around in there, but we could probably talk to Rick or Mike afterwards. We can we can give you that information.
Paul Quinn: Okay, and then maybe just a last question, just direct to Bart. Bart, you mentioned that inventories are low. How are you measuring those? And then secondary, you've said that you expect Asia to improve through 2021 and because of this price disconnect, is that a reference to the North American prices lowering or Asian prices coming up to meet those North American prices?
Bart Bender: Okay. Two good questions. On the inventory side. There's always -- we see FBA type publications that do comment on that. Those are generally lagging, and you can tell just by communication with our customers. It's a constant question that we're asking in terms of their inventory positions. And plus, you can get a pretty good feel out of the marketplace on where we're at and how critical availability and shipment times are. And it's very clear to us that the market is operating on reduced inventories. And so, there's a real premium on availability. There's less discussion about price and quite frankly, they just want to make sure they get the supply. So, I think that supports ours and other people's interpretation of the inventories. When it comes to Asia, we're talking about the Asian prices improving, not North American prices declining to meet the Asian market. I think if you look at the inventory positions in the overseas markets, in China in particular, they're declining to a stage where I think it's going to become critical to resupply and resupply, regardless of where you're going to get that product from is that elevated prices. So, we expect that that market will show that improvement over time.
Paul Quinn: Excellent. That's all I had. Best of luck, guys.
Ian Fillinger: Thanks, Paul.
Operator: Your next question comes from the line of Mark Wilde with Bank of Montreal.
Mark Wilde: Good morning, guys. Ian, I want to just start out by saying how impressed I've been over the last year about how you guys have handled yourself. You were very early mover in terms of pulling back on production last spring when the pandemic first hit. And then I think your discipline around capital allocations actually have been quite commendable this year. With that out of the way, I got a couple questions, I think mainly for Bart. And, you know, Bart, there was some talk recently that a lot of this Southern yellow pine strength was really being driven by kind of treaters trying to get ahead of the season, maybe with a little bit of a nudge from some of the big box retailers, can you comment on that?
Bart Bender: Well, repair and remodel certainly is strong and I think that there is an anticipation of a strong spring. And I can tell you that last year, that segment was somewhat reactive when it comes to supply and so, I think there is a level of proactivity, that's coming into it this year. But I would say that that's more normal. The reactive piece would have been abnormal. So, I don't see anything there that's unusual. Going outside of the treaters, every customer segment that we have is busy. In particular, the trust manufacturers, they have strong order files that are out several quarters and they're running at capacity. So I think this market is showing us not any one particular segment as being strong. It's showing everyone as being strong and obviously, we're seeing that in the pricing.
Mark Wilde: And would you say, Bart, can you spot any places where you think these prices at these levels is actually creating some demand destruction?
Bart Bender: Well, certainly something that we're keeping our minds open to. I think when you get into elevated prices like this, it results in higher distribution risk and I think that that's playing into the volatility that we're seeing in the marketplace -- not necessarily driven by demand fundamentals, but more just the mental side of the of the market and the fact that the prices that we have, if there's ever an adjustment, it can hurt our distributor type customers. So that's definitely playing into this to this market. But from a demand side, I can tell you the conversations that I'm having, they don't talk a lot about price. They talk a lot about availability and supply. And our customers are looking for us to continue to service them. They want to continue to be supplied the volumes that they have been historically. And yes, that makes us feel pretty good about where we're at so far in 2021.
Mark Wilde: Bart, I was thinking mainly about like let's say, in the do-it-yourself market, folks that might build their own deck. They go out and they look at the price of lumber, it's a lot higher than it was 18 months ago. So maybe they decide, 'Gee, I'll, I'll put this off for another year.' Just that kind of behavior.
Bart Bender: Yes. That's certainly a factor, but I think in the U.S., you've got an aging household stock. We're at an average of over 42 years now. And I think that household balance sheets are pretty spectacular right now and there's some disposable income that isn't going into cruises, and holidays, and is staying at home right now. So, I think a lot of that money -- and actually the other one is just the equity that's being built in people's homes and access to that for home improvements. So yes, lumber costs a little bit more, but there certainly seems to be a number of people that are pretty focused on improving their homes.
Mark Wilde: Okay, that's fair. Then over on the supply side, can you just recap for us what you see in terms of incremental supply? particularly in the Southern U.S.? I know we've got these Klausner Mills have traded hands and one [ph] to what I think is a pretty well-run Austrian privately held company. I think seeing at least a couple of sawmill announcements over in Mississippi, we've seen some announcements on debottlenecking. So, if you could just recap for us what you see out there?
Ian Fillinger: Yes, for sure. Maybe I'll take a shot at it and then if I miss anything, Bart and Rick, you guys can jump in. But we are seeing what yellow line mark is, pretty much what we're seeing also. The big leavers, I guess would be the new mill capacities coming online. And the announcements are coming out, they're typically private companies. We've looked in those areas, we still think that there are challenges on the timeline, particularly around the people. When we're talking or I'm talking with the major vendors to these greenfields, they're getting booked up in timelines that are increasing. So, I think there's announcements coming out with pretty aggressive budgets and headline cost to do it and timelines, and I'm not sure whether that's the headline or the actual that's really going to happen. I do think it's going to take longer in these announcements than what is coming out. I think they're going to be more expensive than what's being headlined. I think often the headline is what the equipment and installation costs are versus the total costs, what the land purchase was, what the infrastructure was, the concrete, the sprinkler systems for fire suppression. I sometimes think in my reading of those whether those are all captured in those in those numbers.
Mark Wilde: Okay, that's fair. And then also on the supply side. Any thoughts on the impact of incremental imports, or what you might expect in terms of incremental imports, whether from Europe or maybe from South America?
Ian Fillinger: They increase the imports 2020, about 500 million feet. I think the forecast is for something similar in 2021. In my discussions with my counterparts over there. Their own traditional markets are quite active. This push on demand for lumber is not just in the U.S. market, it's happening in a number of markets. And so, they they've got lots of tension on their supply as well and how much they direct to the North American market will be offset by them supplying them on traditional markets. So, we don't see a massive response. We see a fairly consistent growth we have recently and we think the North American market is more than ready to absorb that incremental volume.
Mark Wilde: Okay. And last question for me is just M&A. We have seen a number of M&A moves over the last three to six months. In the distribution area, we've seen some and the manufacturing area, notably that push Frazer-Nordborg [ph] combination, but not really many sawmills trading. Any thoughts on that? Particularly with people's balance sheets in such good shape?
Ian Fillinger: Yes. No doubt, Mark. We have a hitlist that we keep and we stay in contact with but you're right, the conversation that was occurring at the beginning of this year and at the beginning of COVID is dramatically different today. I think a lot of mills that may have come to market are now the owners are taking the benefit of the P&L generation that they're experiencing today. And that's good for them, but at some point as we all know, things do change. And with Rick's deployment strategy on capital, I think we'll be in good shape to strike at the right moment.
Mark Wilde: Okay, sounds good. I'll turn it over, guys. Good luck this year.
Ian Fillinger: Thanks, Mark.
Bart Bender: Thanks, Mark.
Rick Pozzebon: Thanks, Mark.
Operator: [Operator Instructions] And you have another question from the line of Paul Quinn from RBC Capital Market.
Paul Quinn: Hey, thanks. Thanks for letting me sneak one in. This should be an easy one. Given your disciplined approach to growth and where you're trading out, which is basically less than replacement value and that's not even taken in the $2.50 that you've got essentially in duty depository now, do you worry at night that you're going to get taken out before you're able to plan the growth out that you got in your mind?
Ian Fillinger: Paul, we pay attention to all the metrics that you outlined, but our focus is clearly on a pretty aggressive internal and external growth plan. And we've laid out a five-year strategy a few months ago and have really awesome support and alignment on that strategy. So, I think where the industry is at now and everybody's balance sheets and the cash generation? I think that's a question for almost any company that you need to be aware of, but our focus is entirely on growing the company and building up our company. So, I would say we're not spending much time on that at all. It's more what we're doing every day to get better.
Paul Quinn: So basically, nobody's knocking on your doors at this point?
Ian Fillinger: No and if there was, I wouldn't be able to tell you anyways. But we're focused on what we can control and we're just hitting it as hard as we can.
Paul Quinn: Okay, thanks, guys. Cheers.
Ian Fillinger: Thanks.
Operator: There are no further questions at this time.
Ian Fillinger: Okay. Well, just concluding remarks. Thanks, everyone for dialing in and participating in our update call this morning and your interest in our company. As usual, if you have any follow up questions, just reach out to myself, or Rick, or Bart and we'll be sure to get back to you. Thanks again, everyone and be safe. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.